Operator: Good day. And welcome to the United States Antimony Corporation Conference Call. Today’s conference is being recorded. Before we begin our presentation, I would like to advise you that today’s call will include forward-looking statements within the meaning of the federal securities laws. Our presentation will include statements regarding our projections, estimates and expectations. These forward-looking statements will relate to, among other things, our revenues and production. These statements are qualified by important factors that could cause our actual results to differ materially from those reflected by the forward-looking statements, including those factors set forth in the Risk Factors section of our 2018 10-K form and our current 10-Q. These reports also include glossaries of certain industry terms that may be used in today’s conference call. The full forward-looking statements disclaimer is included in our press releases and this disclaimer is in effort for the duration of the call. At this time, I would like to turn the conference over to Mr. John Lawrence. Please go ahead, sir.
John Lawrence: Good afternoon, gentlemen and ladies. We'll start off with our CFO, Dan Parks, who's going to give you a rundown on the 10-Q. Dan?
Dan Parks: Thanks, John. For the first quarter of 2019, we recognize a net loss of $707,460 on sales of $2,456,365 compared to a net loss of $474,440 in the first quarter of 2018 on sales of $2,432,929. In addition to normal operating costs, the loss in the first quarter of 2019 included the one-time cost to demolish the lands in this plant in Reynosa, Mexico of $76,000, an increase in administrative salaries paid by issuance of stock $136,000, a reduction in precious metal sales due to the decrease of raw materials from our North American supplier about $36,000 out of the cost of our listing on the New York Stock Exchange, about $60,000. These totalled approximately $308,000. For the first quarter of 2019, our EBITDA was a negative $484,187 compared to a negative $196,878 for the same period of 2018. The net noncash expense items totalled $410,347 for 2019 and included $223,273 for depreciation and amortization. $18,037 for amortization of debt discount, $31,250 for director's compensation and $136,000 for stock issued for employment and $1,787 for other items. For the three months ended March 31, 2019, we sold 443,148 pounds of antimony compared to 415,964 pounds for the three months ended March 31, 2018. Every fixed price of antimony during the three months ended March 31, 2019 was $3.85 per pound compared to $4.04 during the same period in 2008. For the three months ended March 31, 2019, we sold from BRZ 3,841 tons of zeolite compared to 3,750 tons in the same period of 2018, up 88 times. BRZ realized EBITDA for the three months ended March 31, 2019 of $205,571 compared to $197,319 for the same period in 2018. We spent approximately $312,000 for capital items, including the capitalized portion of demolishing the lands of this plant in Reynosa, Mexico. Now back to you John.
John Lawrence: Okay. I'm going to start chronologically here and go back to the Reynosa project with Lanxess Laurel. And this again, in September, we realized, $1.5 million cash and we went to work dismantling the plant and later during the fourth quarter last year, the real property was sold for $700,000. So we realized $2.2 million for cash and the equipment value or I can say the replacement value is huge. And it was a injection of cash and equipment that has got us on a roll at this point. Leo Jackson and John Gustavsen headed out the project in Reynosa and briefly Leo and Gus, could you give us some input on what you did, what the equipment amounted to and perhaps where it went? Leo do you want to lead off.
Leo Jackson: Sure, sure. I will. The equipment that we realized from the Reynosa Antimony plant took over 50 tractor-trailers to ship to different parts of Mexico, primarily to Madero. But also to the plant Guanajuato, Puerto Blanco and then some to the operation at Wadley. And as I say, that was over 50 truckloads, but we’d also ship some product out of there. In addition to that, the contractor shipped 900, a little over 900 tons of scrap from that. As John says we started September 1 and finished February the 28 of this year. Gus, do you want to add some to it.
John Gustavsen: You covered it pretty well, Leo, but I guess I can describe some of the equipments that went. You did mention the raw material that came up here to Thompson Falls I think, but that was considerable. That's $700,000 or $800,000 worth. But to Madero for example, we sent five complete large rotary furnace setups that includes the furnace, the burner cooling tubes, the baghouse, the fans, the whole deal and our five complete lines. Plus has installed one and is working on the second one. And in addition we sent three forklifts, a man lift, a bunch of hand tools and power tools. We sent a 2017 Toyota Camry, a pickup truck, rather large air compressor, several electrical transformers, cases and cases of Baghouse bags. Puerto Blanco we sent a lot of the material, to be stored and it can be disseminated to other places as needed. Many, many electric motors, lots of wire and cable, quite a bit of structural steel. We sent two stainless steel tanks to Puerto Blanco, was a cyanide leach plant and as I understand they've been installed already. We sent them an air compressor and also sent them some transformers. Sure I am forgetting some things, but this is just kind of a wide brush. Wadley we sent a front-end loader that needs a little bit of repair. The parts are on order and when it's repaired, I believe it gets shipped to Madero but I'm not sure about that. We sent them an air compressor so that they can do a better job with mining up there instead of doing everything by hand. We sent an entire machine shop full of tools, vices and presses and saws and drills and all sorts of things, because we have a pretty good mechanic there at Wadley. That's a pipe I have about exhausted my list I think.
John Lawrence: Okay, great. Just by way of introduction, Leo has operated in Mexico for what, Leo, how many years?
Leo Jackson: Since late 1960s.
John Lawrence: And he has handled administrative affairs, legal affairs, permitting affairs and logistics. Gus ran a company as a CEO, COO, President, that produced up to 30 million pounds of oxide per year. And that's where I met him. We were competitors at one point. So we have a lot of experience in those areas. Again, to take things one at a time, but several of these things have done four things for our projects. We’ve had four projects involved. And the first one was Watley. And Watley at one time was considered the second largest antimony mine in the world. And we were able to increase production significantly at the beginning of 2019. And this was done by paying a good price to our miner's [indiscernible] and providing equipment, transportation from the mine, various other things. So the dilemma was that we did not have enough capacity at the Madero smelter at the time was just one LRF, long rotary furnace, to handle all the production. So in retrospect, the Watley project is on stream and we've provided underground load haul dump equipment. We're going to be installing one of two large compressors with pneumatic cameras, and various electric items that are expected increase production much more. So the second project was Madero. And Russell is heading that up. He's been there day and night since almost the beginning of the year. And he just brought the second LRF, long rotary furnace, on stream. Russell, I’ll go ahead and turn it over to you for Madero.
Russell Lawrence: Okay, well as you say, John I got one of the files that Gus and Leo sent from Reynosa and modified it so that it can roast our ore, those furnaces did roast concentrates which I understand were all ground very finely. And after some tweaking, we've got it now where recovery on that furnace, which was similar to the original recovery on our first LRF is between 90% and 97%. And that's with ore. And the first LRF, the refractories were thin, but were about to yank that furnace out and replace it with one of the other four that Gus and Leo sent me. And in the meantime, we're producing in that and we're just re-roasting our slags which have more antimony than the new LRFs. I guess I should mention that in the meantime we've been working on the third LRF. So I don't have total magic ball to predict, but I would say no more than two months from now, we ought to have about three LRFs, they're more or less new producing. And I think that will handle the increased capacity John referenced from the various mines, but principally Watley. A couple of other things, the burner that Gus and Leo sent, I like it a lot better. Here's why we don't need auxiliary air because, we get a lot more air and the implication of that is we don't need as much carbon, so there's a cost savings there. Also, I can tweak the air to fuel mixture a lot better than I can with the old Maxon Systems. The other thing I want to try and I'm going to try as soon as we get the other LRF changed is to see if we can re-roast our slags in LRF. And if that can be done, that'll be an enormous savings and an increase in production rate. So overall we have an increase in recovery, we have an increase in capacity. And that basically covers what I wanted to say about all that. John, back to you.
John Lawrence: Okay. There are other things that we have studied to reduce costs in our smelting operation. And one thing is Russell started to produce metal in Mexico and we find that it results in a $0.38 increase in gross revenue, our net revenue over making oxide in Montana. So he's producing metal on a regular basis right now. Secondly, the replacement of number one, LRF could mean up to a 40% or 50% reduction in fuel usage. And that's our major costs in Mexico and also major costs here in Montana. The third way thing we discovered is that our slag disposal costs in Mexico for short ton are about $56. In Montana, our slag cost to Hazmat site is over $350 for a short ton. So we're going to go ahead and eventually, if not almost immediately, make all metal in Mexico and oxide here in Montana with the North American supply and so forth. So those are a few of the items. It's much cheaper to ship antimony metal in terms of metal contained than it is crude oxide, which is about 75% additional savings. Okay. Going to the next project, calling at number three is that we have brought Guadalupe into production and that's a mine in Zacatecas. And we're currently shipping trucks out of Guadalupe to Madero for smelting. And we're also saving our sulfide material for the production of antimony trisulfide. It's on stream. Going to the next one and the big one right now Los Juarez. Gus, I'll turn it back to you for a progress on metallurgy, the plant construction and what we've done here in Montana for refining silver gold.
John Gustavsen: Okay. The plant in Puerto Blanco for Los Juarez material is nearly done. In fact, it starts in the Madero where Russ leeches the concentrates to produce sodium antimonate and then ships the residue up here to Thompson Falls. We've been doing a lot of metallurgy since, let me see, late last year on Los Juarez type material. And we've got, as a matter of fact just today installed most of the equipment to go ahead and process those Los Juarez residues here at Thompson Falls to make a silver and gold bullion product. We’ve pretty much proven the metallurgy and we've tried all sorts of things. We find that some leachate materials work better one way and some in another way and we've kind of dealt down how to do that. So probably tomorrow, maybe even later today, we're going to start using the new equipment and get going with whatever we've got here. I think that's all I've got there, John.
John Lawrence: Okay. Matt Keane heads up our sales here on antimony and zeolite. Matt, could you give us a little rundown on sales, customer growth, et cetera for Bear River?
Matt Keane: Sure. For Bear River Zeolite, I sure can. Well, everything's good with Bear River Zeolite, all the markets are very active. Our schedule is actually full out into August. The markets that are strong, animal feed is growing slowly. That one is real steady, growing slowly. The water filtration market is growing fast and we see great potential here. It's just really starting to blossom. Oil and gas market combined with air filtration is very active and started out real strong this year and we hope that too stay the same or I mean that continue to growth. The artificial grass market of course has just really kicking in now that summer's here. And it has great potential. It's slowly growing, not real fast, but for us it's slowly growing. And from what I understand from talking to customers, it's really because of our higher quality product and screening ability and also the green color that really fits in with the synthetic turf. And also in general about BRZ, what I've been getting lately and I feel lately is from the calls I received, a couple of Zeolite suppliers are faltering a little bit both in their quality and their customer service. And we've noticed a few customers coming our way because of that making – they're making the switch to BRZ. They're not huge at this time but it shows a potential for steady growth and there are some big specialty in the synthetic turf industry, some big customers looking at our product. So that's what it for BRZ, John.
John Lawrence: Matt, could you touch on your new distributor in Korea and also the countries that you're shipping to?
Matt Keane: The new one in Korea, he's been in the business, we talked about him last time quite a bit. He's been in the business for years over there and GA is close – is the animal feed and ingredient, not even in human products, ingredients feeds and supplements. He likes our product a lot for a soil amendments and animal feed, those are the two markets that he is really strong into, he’s actually giving product to – a sample product to every golf course in Korea and is expecting large orders there and is also ordered three trucks already of amended zeolite that we'll get used both in golf course industry and the farm industry for soil amendment typically. You caught me a little off guard with countries. John, give me a little help there.
John Lawrence: Let's see you're shipping to Russia, is that correct?
Matt Keane: Well, yes, a lot of our product is going to Russia, South America, even China for golf courses. A lot of the Russian countries over there, yes, Ireland, a little bit of England, some of that's water filtration, so all countries, a lot of – a lot of countries and a lot of different markets. And of course, they're one of our major feed customer, we don't know where he ends up shipping to, but he's all organic and all over the world – ships all over the world. He takes multiple, multiple truck loads a month.
John Lawrence: Okay, Matt, appreciate that. And with that, where is U.S. Antimony going in terms of sales. And very quickly, the orientation is that we have antimony oxide, metallic antimony, antimony trisulfide free products. We also have silver and gold and zeolite. So three of the projects are now online, Wadley, Guadalupe, Madero and they’re all being expanded. The fourth one is scheduled to start the beginning of Q3 and its being wrapped up in terms of the PP&E, the last thing that we’ll go in as the liner. Q3 we anticipate running several thousand tons of Los Juarez. And then looking at the projections, which are not public at this point, we see a very rapid increase in gross revenue and this is a result of silver and gold as well as the antimony from Los Juarez. We will then continue to push the pilot mill, the 100 ton mill to capacity and that would be on the order of a 100 tons a day with a gross revenue of about $125 per ton. Immediately on reaching capacity, we will have started the continued the construction of the 400 ton mill, that’s it Puerto Blanco. I would anticipate that possible start of the 400 ton mill around the middle of 2020, maybe a little bit later, but that, that really augments that growth. And we’re aiming at no guarantee that by the end of 2020, we may be in the neighborhood of $5 million to $6 million gross revenue per quarter, without having the 400 ton mill up to capacity. With that, I’ll just turn it over to question-and-answers.
Operator: [Operator Instructions] We’ll take our first question from Richard Good. Please go ahead.
Richard Good: Thank you, gentlemen. Thank you for the information. I’m an individual investor. And I’d like to ask the question whether or not the continual trade war, so to speak, that we all hear about. Is there any point that you see that being a negative or a positive for the products we sell and where we sell them?
John Lawrence: Okay. I’m going to attempt an answer there, Richard. And this is speculative, but historically we’ve seen the antimony market go from $0.52 a pound, few over $4 a pound in a 10-day period. So it’s a thin market, it’s very volatile. And we saw tariff of 10% go on antimony products. And the Chinese government, as I understand devalued the Yuan to absorb that increase. The threat now is 25% tariff on antimony products, but they have not spelled out antimony yet. And when they did announce the possibility, I think that everyone, every producer went out and stocked up on Antimony. And in doing so, they stopped up the worldwide the inventory and now they’re not buying for probably a 30, 45 day period, as well as they were before the announcement. At that point, I think it will resume, I don’t think we’re looking at any problem with that at this point.
Richard Good: Thank you, John. Thank you for that answer.
Operator: [Operator Instructions] We’ll take our next question from Dimitrios Manthos. Please go ahead.
Unidentified Analyst: Good afternoon, guys. Yes, just relative to that last question. I – John, I think, antimony was exempt with real earth on the, even on the 10% tariff. I realized things could get out of hand with China, but I think right now I don’t believe I mean, there’s a tariff on the antimony come from China.
John Lawrence: That’s correct. Yes.
Unidentified Analyst: So I guess, we’ll start out with Zeolite. I know, production was up big in the first three months of the year. Yes, sales were sort of flattish up 2%. What’s going on there? We just holding inventory.
John Lawrence: Right now, of course, winter months are tough and we had relatively rough winter, but a lot of the markets are seasonal Dimitrios, and for instance, the pool and spa business by very little during the fall beginning of the year. But right now, they’re coming on very, very strong. And they will be strong through the summer. So that was the beginning of that one. We had few operational problems that really didn’t trigger set back, but it’s still response of that. When say a planned problem otherwise some mine problem, solved and no problem at this point. We’re seeing a decrease during the winter in the use of Zeolite for ammonia control in gold mines in the Northern Ontario area. Now that the ice is going out and so forth, we’re seeing a surge again in that market. Animal feed is strictly seasonal with some aspects and that’s mycotoxin binding, in other words, it’s mouldy hay, mouldy feedstuffs. And it gets not real bad in the winter, but during string with a sock, you got mold in animal stuffs and the feed mills and so forth are using Zeolite has a mycotoxin binder, especially if they’re using DDG, that’s dry distillers grain from ethanol plants. So this was the sort of a background. The other one of course is Matt mentioned is infill for artificial grass. We were amazed that we were selling some in Canada during the winter, but it’s strictly seasonal also.
Unidentified Analyst: Okay.
John Lawrence: Dimitrios, your question was kind of volume versus [indiscernible] integrate? Is that what you’re asking?
Unidentified Analyst: Well, I was just wondering I mean, I just – the production numbers for the first three months relative to your press releases and then I matched them up with your sales and you produced a lot more than you sold. So I figured that some of the – might be stock for inventory.
John Lawrence: I understand. Okay. The one thing, Dimitrios that I’ve noticed, and Dan might hop in on this, is that we are becoming more profitable and realize as we go along.
Unidentified Analyst: Yes, I saw the EBITDA numbers and they did look good. I’m still trying to – each quarter I asked the same question. I’m wrapping my head on the growth – on Mexican ramp up. And I guess, I know your inventory was up by $130,000 worth of inventory year-over-year, three quarters of antimony quarters zeolite. But I would expect that the inventory – the intermediate inventory to be up more based on, you've talked about how you're doubling the shifts of ore coming to Wadley and now we have Guadalupe up and running. Where am I missing the picture here?
John Lawrence: Well, to start with the big increase in Wadley didn't occur until the beginning of this year. And although we'd shipped a couple of trucks, I believe last year from Guadalupe, it's coming on stream very strong right now. And of course, the advantage of Wadley is the infrastructure. The disadvantage is we don't have explosives. The Guadalupe, we do have explosives and it gives us a 3x maybe a 4x advantage and maybe even greater than that. So the big inventory really didn't get started until this year. And unfortunately, but as planned, the Madero smelter did not have the capacity to process all of it. Right now, Russia's got the capacity and he's making improvements on the number one LRF and putting in the number three. So we're going to be liquidating what we've got as well as gobbling up increases in production. As a matter of fact, we did – if you look at it, we did increase Mexican production from 2018 to 2019. Not much, but it was on the order of 60,000 pounds.
Unidentified Analyst: 60,000 pounds for the quarter?
John Lawrence: No, that was for the first quarter. Yes, correct.
Unidentified Analyst: I think you're right. 60,000 pounds more was sold. And you led me to a Guadalupe. So why don't we concentrate on Guadalupe? We got an explosives license. You can make antimony trisulphide and sell for $17 or $18 a pound. Why should more…
John Lawrence: Go ahead, Demetrius.
Unidentified Analyst: Yes. I was saying, why shouldn't you focus more on Guadalupe since you have an explosives license, you can make antimony trisulfide and sell it at a premium price point? Why aren't we focusing much more on Guadalupe right now?
John Lawrence: Okay. We actually are focusing and we spent some money doing that. The first thing is that Guadalupe is very, very remote and it was taking us two and three hours to drive each way from the small town of Roanoke to the Santa Monica. And we want to head and we built a camp for [indiscernible] the mine and they literally lived there so that they're at work immediately and they work a long day. We don't have the expense of taking them back and forth. And we are pushing that and we're getting additional [indiscernible] there. Now in terms of trisulfide, Demetrius right now pricing would give us about $14 per pound of antimony contained. And to do that, we're going to have to put in a larger electric furnace at this plant that we're at right now to get it up to commercial levels to trisulfide. It's a limited market, but it appears to be very, very profitable. We've produced it here with smaller furnaces, we have the technique, we've had a metallurgical breakthrough of being able to use concentrates instead of hand sort and it's certainly high in our sites right now.
Unidentified Analyst: Okay. So the trisulfide has been manufactured in Montana? Correct. Is that what you're telling me?
John Lawrence: It will be, yes. In other words, it would be mined in Santa Monica, truck to the mill at Puerto Blanco. And that concentrate will come directly to Montana.
Unidentified Analyst: Okay. But we don't have the commercial apparatus to do it yet. So that's going to – what kind of costs are we going to have for that project?
John Lawrence: There is several facets to it. But to get started, we're looking somewhere in the order of $50,000.
Unidentified Analyst: Okay.
John Lawrence: And we’re seeking approval as a military spec, which is also important.
Unidentified Analyst: How long do you think that will take? Because we heard about, we knew that you could produce to mill spec and now you're seeking some sort of approval. Do we know when that's going to be come about?
John Lawrence: Not, exactly. But yes, we have produced product and sell product as mill spec and the market of course will be the military itself to augment the non-exist in stockpile. And then the commercial market is actually bigger and we'll be selling into that also.
Unidentified Analyst: Okay. But you're going to have to have approval before you sell anything to a military or government? Correct?
John Lawrence: Well, they've already tested it and there'll be additional testing for consistency, I guess is the best word.
Unidentified Analyst: Okay. And is that what's holding up this deal that we've been talking about for about a year now with something regarding trisulfide with some sort of entity related to the government? Is that you don't have…
John Lawrence: Not really. We're progressing on it right now. And we're currently mining and stockpiling trisulfide ore for that purpose.
Unidentified Analyst: Okay. And how – I realized broadly I think you've said in the past that you buy the ore as long as it has the right percentages, you'll buy for 50% of Rotterdam. How do the economics work with Guadalupe where you own that mine?
John Lawrence: There – basically, we're on somewhat the same table of a purchase price. But the margin on trisulfide is so tremendous. It's a – we projected as being extremely profitable.
Unidentified Analyst: Okay. So I guess, we own the mine, but we still have to pay for the ore coming out of it, where just down?
John Lawrence: We just call it a mining cost.
Unidentified Analyst: Okay.
John Lawrence: And it's very common in Mexico and lot of countries. What we call it? DSO direct shipping ore.
Unidentified Analyst: Okay. So we're not paying wages some [indiscernible] mining costs, we pay for the ore.
John Lawrence: That's correct. We do have of course, a small management crew at both places Wadley and Guadalupe.
Unidentified Analyst: Okay. And just moving on to antimony prices in general, I mean, prices have been coming down. As you buy more and more ore, and it takes, we've had a bottleneck in terms of processing. Don't we get sort of stuck, if the antimony – it's not a good thing because where the antimony prices coming down. I mean, I realize it probably works better when the antimony prices are rising, but ore that we purchased a couple months ago and the total antimony prices coming down, I mean, are no margin going to get squeezed and gives us smart to be doing?
John Lawrence: We can adjust our – we call it tabulador, a table for purchasing.
Unidentified Analyst: Yes, just, I mean I want to see you guys prioritize and focus on really Los Juarez and seems like we're right. We're close to the end zone on Los Juarez, and there's only one thing in between, processing gold, silver and antimony and that's a liner. And I mean, do you have the money to buy the liner because it doesn't sound like you've ordered it yet according to your press releases.
John Lawrence: The liner in solution is typically two to three weeks, and right now we're focusing on finishing, for instance the building, at the leach plant and the installation of a full fire assay lab, you control the approach assessed as well as grades. And there are various other things that we're doing there, but they're of a minor nature in terms of money. And the liner, we'll take in stride. We have several services of additional capital, one being are paid in a IVA with the Mexican Government, which is currently in the order of $350,000. The most immediate one and the one that we're focused on right now is liquidation of our inventory. And that is underway right now. The other one is the increased profitability on selling metal, and as Russell has shipped two truckloads of metal, be shipping another one next week. And we're going to try to fit in 1.5 truck to two trucks initially per month. And of course, we will augment that in the future. And we have that dual ability we can switch to trioxide, which we'll make constantly from our North American supply in metal, two totally different markets. So, I don't see that as a big impediment right now.
Unidentified Analyst: Okay. And we are still on – did I hear correctly that we're still on track for the startup of the pilot plan in the second quarter?
John Lawrence: We'll have it ready to go by the end of this quarter, we'll be starting at third quarter.
Unidentified Analyst: Okay, I just slipped…
John Lawrence: Just is now processing some of our legacy concentrates from Los Juarez is just to confirm the metallurgy. So we will probably shipping small amounts of silver and gold during this quarter from Los Juarez.
Unidentified Analyst: Okay. And that will give us a better indication in terms of – if the economics truly work the way all of your studies have showed [indiscernible].
John Lawrence: Yes. It'll be confirming. And that's the key for me, curious the minute we can say, okay, we've got a viable protests to handle this very complex ore and we're currently marketing it, then we put the pedal to the metal and take off. And I would say, we want to coordinate that with towards the end of this year, possibly a small but very effective drilling program to actually classify some of the ore as proven, possible and inferred. To delineate the potential size of the deposit, we're talking a huge area. And we're talking about mineralization that has by hearsay have been drilled to 400 meters with excellent gold, silver values at that depth. Though the 110 mill is strictly a pilot mill. The 400 ton mill will be an intermediate step. And I think we have to keep in sight the possibility of a larger mill closer to the mine, for the reasons that it would save us trucking on the order of $15 a ton, and would allow us to be looking at substantially bigger mills.
Unidentified Analyst: Okay. If I heard you correct, you’re going to try and to get, what would it entail to get something that gets proven and probable? What would you have to do for that?
John Lawrence: What, what were you – what we plan Dimitrios is a drill that we would buy and it would be similar to the drill we use at Bear River. It’s not a core drill. It’s a pneumatic, hydraulic-driven top-mounted hammer. We use it for blast holes and the big advantage is that it’s very fast. It’s a very cheap compared to core drilling, and it does not require water. It also gives a more of a homogenous sample and one of the big problems of core drilling up there is lack of water you have to truck water. So, we’ve got around that environmentally, it’s much safer. We don’t have to just get rid of drill mud.
Unidentified Analyst: Okay. And just lastly…
John Lawrence: And there was also second as it lasts old rig.
Unidentified Analyst: Okay. Lastly, on the IVA monies to free up, when do you expect that, John?
John Lawrence: We’ve applied for a refund already Dimitrios.
Unidentified Analyst: Yes. But with Mexico, does it happen like within 90 days?
John Lawrence: Do you want to address that one?
Dan Parks: Yes, John. Realistically, it will probably take about six weeks from the time, we applied for it, which was about 10 days ago.
Unidentified Analyst: Okay. I’m going to let someone else ask some questions. Thank you, guys.
John Lawrence: Yes. Thanks, Dimitrios.
Operator: [Operator Instructions] We have our next question from Mark Menzel with Sunrise Wealth Partners. Please go ahead.
Mark Menzel: Hey John, how are you?
John Lawrence: Good, Mark. how are you doing?
Mark Menzel: Good. So, I know when your business, there’s a lot of things out of your control. The price of the Antimony, dealing with the government and the Department of Defense. But to me, I am so interested in Los Juarez, something that I think you can have some control over. And you mentioned the potential for this company would be a significant ramp up of production, sales, profitability. Could you go over them again, Los Juarez?
John Lawrence: In terms of a mill throughput Mark, what are you thinking?
Mark Menzel: Well, it’s just put – like bobbing what we could potentially expect once you get ramped up. I think in the press releases, we’re talking about $125 per ton or you mentioned starting with a 100 tons a day real quick math on that. What is that 1 million, 1.2 million or 1.4 million year? I just want to get a sense of the potential revenue ramp up, getting through the testing stage and then maybe what it looks like a quarter beyond that?
John Lawrence: Okay. Basically, we’ll be starting – we won’t be at a 100 tons a day to begin with, but the minute we can say that we have a viable product, a profitable product, we’re going to ramp up as quickly as we can. And we’re not interested in and making a stock placement at a low price at all. It isn’t going to be necessary. But I’ve been playing with numbers and it’s very speculative, in terms of pricing, availability of equipment and so forth. But 125 tons a day, you can run the math on that, say it’s 25 days a month. That’s about 400,000 a month.
Mark Menzel: Yes. Okay, okay. And…
John Lawrence: With, I would say, effect wide margins. No. Yes?
Dan Parks: I would say, and the one drawback of the 100 ton and 410 ton mill is that we’re looking at an extra $15 a ton in terms of trucking costs, but I would say that we’re probably looking at a cost in the neighborhood of $60 to $70 a ton.
Mark Menzel: Okay. But we’ll still leave a good $50 a ton bottom line.
John Lawrence: Correct. Yes. We’ll start talking about bigger tonnages of course, there’s a lot of efficiency to run in a larger throughput besides just the trucking. And remember that this is open pit, both definable and those are tremendous advantages. We see a lot of mines that are running the equivalent of half a gram or less in terms of gold and other words, they’re running $20 rock at a profit, compared to what we’re talking about.
Dan Parks: And I think many people that have an interest in the company are truly waiting for this. Okay. Hey, doing something with the government. Yes, I’d be nice for credibility, blah, blah, blah. It’s the golden silver. But…
Mark Menzel: I agree.
Dan Parks: I’ve been waiting for, John.
John Lawrence: Yes. Well I think everyone is, and the dilemma courses that we’ve had these metallurgical setbacks that we finally solved and a lot of the initial shareholders, bought in because of the silver gold only to realize that delay of not having the metallurgy worked out. And now, finally we have it and we’re just starting all new.
Mark Menzel: Okay. So, we still need to put the line or down. Right.
John Lawrence: Right.
Mark Menzel: And the leach process is almost complete or complete the cyanide leach.
John Lawrence: It’s not, it’s just minor things, for instance, as of this morning, we are putting a little more roofing on the building, the cyanide leach plant. We’re connecting up a water line. Everything is wired in, tailings pipelines are in, the electric switch gears in, the cyanide and carbon is on its way from South Africa right now. And it’s…
Mark Menzel: And is there anything we can do to speed up this process. This seems like the most potentially most profitable part of the business that could ever exist for this company.
John Lawrence: I agree. And yes, we’re doing everything we can. the minor items are being, we sent most of the money for that this morning and we’re waiting now just for them to be able – we want a typical startup, Mark, would be electric testing. We’re doing that in part right now. Wet testing and pilot testing with a small leaf plant, we have to get the laboratory up to speed. Gus is planning to go down to do that and we’re shipping a laboratory equipment right now. So, I don’t think we can expedite anymore.
Mark Menzel: Okay. But well…
John Lawrence: The minute we can say we’re viable, then the faster we can expedite that point the better. Remember that we do not have reserves if we cannot make a recovery. And that’s why we haven’t gone into it.
Mark Menzel: All right. I understand. Like I think I said in the past, I was a young man when I saw the opportunity there, I’m getting older. I think you’ll get there, John. I really look forward to seeing the run-up in revenues and profits.
John Lawrence: Yes.
Mark Menzel: Thank you.
John Lawrence: Yes. Thanks, Mark.
Operator: [Operator Instructions] I am showing no questions in the queue.
John Lawrence: Okay, great. I appreciate everyone’s interest.
Operator: Excuse me, I do apologize. We have William Bert from Bert Management queued up.
John Lawrence: Hi Bill.
William Bert: Hi, John. A question on your inventories of antimony, whether they be antimony or work in process. You mentioned with the expansion of Madero, you’re trying to run those volumes through and generate cash. If that is done on schedule, what might be raised in terms of money that can be reinvested?
John Lawrence: I’ve run that Bill and I’d say that we’re on the order of 300,000 that can be invested.
William Bert: Okay. And then what will be the number including that 300,000 possibly, that would be scheduled for – that is budgeted for the rest of the spending on low LRFs for the rest of the year.
John Lawrence: Well, the rest of the year Bill, that we get started, it’s nominal.
William Bert: Right.
John Lawrence: We’re looking at under a 100,000, but once we’re starting, the key is going to be the turn, the product from the mine through the mill, through the leach plant in the Madero and up here to turn that around quickly. And Gus has got things worked out very quick on this end. So that I think it’s going to be through a great part self-funding on the ramp up.
William Bert: And that would occur late this year or early next year?
John Lawrence: Q3, Q4…
William Bert: Of this year?
John Lawrence: Correct.
William Bert: Okay. Got you. I would love your metrics excel chart that you send out occasionally on a monthly antimony prices. Am I missed that or does it need an update?
John Lawrence: Matt can get that for us, Bill.
William Bert: Yes, I’d like to see that. And then….
John Lawrence: That’s the 10-year average.
William Bert: No. it’s not – it’s the monthly data year by year.
John Lawrence: Oh, okay.
William Bert: That’s a great a data sheet. And then they made picture again. Anything new on a China in terms of their internal production, their external sources from other people, either or concentrate anything going on?
John Lawrence: Basically, the way it looks, where they were using their own ore up for just about 10 or 15 years.
John Gustavsen: Yes.
John Lawrence: They are now importing more than 40% of their ore. And Gus, correct me your – most of it Russia, Australia.
John Gustavsen: Yes. Australia. There are some guys in Nicaragua, who claims that they’re shipping to Russia whether that’s true or not, I don’t know.
John Lawrence: Of course, we’re looking at reopening the Beaver Brook.
William Bert: Right. I don’t think we should worry too much about that. How about the Karwa project down there in the Gulf of Arabia with presumed Turkey supply? Is there anything going on down there?
John Lawrence: It was described to me as a scam and whether that's true or not, I don't know. But they, as I understand are trying to raise another $10 million, is it.
Dan Parks: John I scoured the Internet for information on that and that was the last thing that I could find published was when they were out in the market for $10.5 million, that was quite awhile ago, nothing new since then.
William Bert: So is the implication of that is nothing's being constructed or if so…
John Lawrence: I think they constructed, they only ran in two, whatever metallurgical problems the Turkish supply is suspect.
William Bert: Okay.
John Lawrence: And governments in there, basically that are high mercury.
John Gustavsen: Yes. We looked at that a number of years ago, John and it was the Turkish ore was all high mercury.
William Bert: Okay. So they comparator it’s a skill in the background, right?
John Lawrence: Actually I wish they would go in the market and start buying the Chinese supply because they make the price set.
William Bert: Yes. Last question on Los Juarez having been on that property a couple of times, as you plan to mine that thing, what’s going to be the lateral workspace left to right from which you will draw or…
John Lawrence: Both directions, Will. Actually…
William Bert: How wide?
John Lawrence: It depends on the pipes themselves. But we have seen it as wide as 1 kilometer. We've seen it uh, in terms of 3.5 kilometers in length and Gus and I visited a outlier on the next mountain that’s well over extend the width two maybe 3 million –excuse me 3 kilometers.
William Bert: Right. Now the generalized hope for grade on this property for antimonate runs to what level? With split your working assumption?
John Lawrence: You mean vertically Will or ore grade.
William Bert: No, ore grade, yes.
John Lawrence: We've seen huge variations from several tenths of a percent to a 5% and 10%, a matter of fact we’ve seen 30% and 40% ore also.
William Bert: Got it. Okay. But the point it that this is a really a silver go prospect as much as anything, right?
John Lawrence: Correct. Where the antimonite is high, typically for higher end silver, where the grade is lower or higher end goal.
William Bert: Got you. All right. Very good. Will listen to you in 90 days from now. Thank you.
John Lawrence: Yes. Thanks, Will.
Operator: [Operator Instructions] And I am showing no more questions in the queue.
John Lawrence: Hey, great. Appreciate it man. Thanks everyone.
John Gustavsen: Okay, thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.